Operator: Good morning. This is the Chorus Call conference operator. Welcome, and thank you for joining the FinecoBank 4Q 2025 Results Conference Call. [Operator Instructions]. At this time, I would like to turn the conference over to Mr. Alessandro Foti, CEO and General Manager of FinecoBank.
Alessandro Foti: Thank you. Good morning, everyone, and thank you for joining our fourth quarter 2025 results conference call. In 2025, net profit was flat year-on-year at EUR 647 million and revenues at around EUR 1,317 million, supported by our nonfinancial income, investing up by around 10% year-on-year, thanks to the volume effect and the higher control of the value chain by Fineco Asset Management and brokerage is up by around 18% year-on-year, thanks to the enlargement of our active investors and stock of assets under custody. Operating costs well under control at around EUR 356 million, increasing by around 6% year-on-year by excluding costs related to the growth of the business. Cost/income ratio was equal to 27.1%, confirming operating leverage as a key strength of the bank. Moving to our commercial results. The underlying step-up in our growth dynamics gets crystal clear month by month. This is underpinned by the positive tailwinds from structural trends, and we are leveraging on this solid momentum through and more efficient marketing. The results of this acceleration has been clearly visible in our most recent numbers. First of all, recorded our third record year in a row for new clients at around 194,000 new clients, up by 27% year-on-year. In January, new clients were 22,000, hitting the best month on record, up more than 70% year-on-year. Second, our net sales recorded a new high at EUR 13.4 billion in the year, up by a strong 33% year-on-year. In January, total net sales saw a further continuation of this trend at around EUR 1.1 billion, up by 21% year-on-year. The mix was, as usual, characterized by the monthly seasonality for assets under management with around EUR 260 million, net sales up by 16% year-on-year, assets under custody at EUR 1.1 billion and deposits at around minus EUR 207 million as our brokerage clients were active on the platform, given market volatility, thus resulting in solid brokerage revenues estimated at around EUR 22 million, up by 7% year-on-year. Our capital position confirmed to be strong and safe with a common equity Tier 1 ratio at 23.3% and the leverage ratio at 5.07%. We are very pleased to propose to the next Annual General Meeting a dividend per share of EUR 0.69, increasing by 7% year-on-year. On our 2026 guidance, this year, we expect all the businesses areas to contribute to the revenues growth, thanks to the acceleration of structural growth underlying our business. We expect a further acceleration in both total net sales and new clients, another record year for brokerage revenues, a cost income comfortably below 30%. More details will be provided during the Capital Market Day on March 4, 2026, together with the multiyear plan 2026-2029. Let's now move to Slide 5. Before moving in the details of the presentation, let me stress that month after month, Fineco is recording a continuous acceleration of its growth dynamics, supported by very sound underlying quality. As you know, our business model relies on a diversified and quality revenue stream, allowing the bank to deal with any market environment. the banking revenues, our net financial income is a capital-light one with lending being only an ancillary business, and it's driven by our clients' valuable and sticky transactional liquidity. Let me remind that deposits are joining our platform for the quality of our banking services and not due to aggressive commercial campaign on short-term rates. That's why our deposits are so valuable and our cost of funding is close to 0. Our investing revenues are recording a sound and future-proof expansion as they are already aligned with clients' rising demand for transparency, efficiency and convenience. This approach is mirrored in the quality of our revenues mix, which is almost entirely recurring with a very low percentage of upfront fees and no performance fees at all. Finally, our brokerage is clearly experiencing a step-up in the floor of the business, thanks to the capability of our platform to structurally have a higher number of active investors, leading to structurally higher stock of assets under custody. This is driven by an increase in clients' interest to be more active on the financial market and is building a bridge between the brokerage and investing, which we are the only platform able to scope given our market position. The net financial income was up 3.1% quarter-on-quarter, led by our valuable positive deposit net sales and the higher reinvestment yield of our bonds running off. Let me quickly remind you that the quality of our net interest income, which is capital-light and driven by our clients' sticky transactional liquidity. That's why our deposits are so valuable and will be the driver going forward for the growth of our net financial income. Let's now move to Slide 8. Investing revenues increased by around 10% year-on-year on the back both of growing volumes, thanks to our best-in-class market positioning and of the higher efficiency of the value chain through Fineco Asset Management. Let me remind you the great quality of our investing revenues, mirroring our transparent and fair approach towards clients. Our revenues are mostly driven by recurring management fees with very low upfront and no performance fees at all. Let's now move to Slide 9. In this slide, we are representing the 2 main sources of growth for our investing business going forward. On one hand, Fineco Asset Management is progressively increasing the control of the investing value chain. Its contribution to the group net sales has been consistent over the cycle, thanks to its incredible time to market in delivering new investment solutions aligned with clients' needs. The contribution of Fineco assets under management out of the total stock of assets under management has been steadily growing, and it's now equal to 39.3%. On the other hand, being a platform, Fineco is the best place to catch the latest trends in terms of clients' investment behaviors. There is a clear change underway in the structure of the market with clients increasingly looking for efficient, transparent and convenient solutions. All of this is channeling a strong demand towards advanced advisory services with an explicit fee, where Fineco is by far the best positioned in Italy, as you can see down in the slide. Let's now move on Slide 10 for a focus on brokerage. Brokerage registered a record year with around EUR 256 million revenues, driven by our larger active investor base and growing stock of assets under custody. January further builds on this with EUR 22 million estimated revenues. Let me stress that the revenues of our assets under custody are expected to grow as we roll out our new initiatives on securities lending, out FX, ETFs and systematic internalizers. Average revenues in the year are around 10% higher versus 2020, with much healthier underlying dynamics. This is driven by the structural increase in clients' interest to be more active on the financial market and building on a clear bridge between the brokerage and the investing world. The brokerage business represents the best sign of how fast the structure of financial market is evolving as technology is driving a swift change in clients' behaviors, thanks to higher transparency. For these reasons, we consider the brokerage Italian market still very underpenetrated, and we see a strong opportunity to grow despite already being the market leader. Let's now move to Slide 12 for a focus on our capital ratios. Fineco confirmed once again a capital position well above requirements on the wave of a safe balance sheet. Common equity Tier 1 ratio at 23.3% and leverage ratio at a very sound 5.07% while risk-weighted assets were equal to EUR 6.2 billion, total capital ratio at 31.37%. As for liquidity ratios, the coverage ratio is over 950% and net stable funding ratio over 400%, while the ratio of high-quality liquid assets and deposits is at 80%. Going forward, we confirm that we will continue to generate capital structurally and organically, thanks to our capital-light business model. Given the strong acceleration in our growth, we are taking more time to have a clear view on deposit net sales going forward as the underlying dynamics are strongly improving. If despite the strong acceleration of our growth, there will remain excess capital, we will decide on the best way to return it back to the market. Let's now move to Slide 18. Fineco enjoys a unique market positioning to catch the long-term growth opportunity resulting by the huge Italian household wealth and the fast-changing client behaviors. The graph that we are now representing our market share on the addressable market on the stock of financial wealth of Italia households. As you can see, our market share is still small and the room to grow is huge. We are very positive on our future outlook as we have no competition on our market positioning. Fineco is the only big player with a service model truly based on efficiency, transparency and convenience. Moving now to Slide 19. The step-up of our growth trajectory is clearly materializing as you can easily see in our recent clients' acquisition. On top of the slide, you can see the impressive acceleration of new clients, which in 2025 recorded a third record year in a row and saw a record month in January just before the launch of our most recent marketing campaign. This acceleration is very sound because it's based on the quality of our offer and not on aggressive marketing campaign with short-term rates remuneration. As a result, all our new clients are improving the metrics of the bank by bringing more deposits or more business for brokerage and investing. This value is recognized by our clients as shown by our client satisfaction of 96% and on our Net Promoter Score way above the industry average. Let's now move to Slide 22. Let's now focus on our assets under custody, a component of our business that is sometimes undervalued by the market, but that is the real cornerstone of our fee-driven growth. This is true for investing as assets under custody remains the main source fueling our assets under management net sales. As you know, around 90% of our growth is organically driven. As a consequence, new clients tends to show in asset allocation more skewed towards assets under custody and the job of our financial adviser is to improve the mix into assets under management. For brokerage, the expansion of assets under custody and the growing base of active investors are key factors leading to a structurally higher flow in our revenues, which we expect to grow as we roll out our new initiatives on securities lending, out FX, ETFs and systematic internalizers. Finally, the fast-growing ETF space, we are exploring new revenues opportunity, which we explain moving on the Slide 23. Fineco is uniquely positioned to capture the strong client-driven shift towards more efficient investment solutions such as ETFs. The stock is quickly on the rise and now exceeds EUR 16 billion with ETFs accounting for half of the assets under custody fees. Thanks to our focus on efficiency, transparency and convenience, we are the only player capable of fully recognizing and monetize the structural trends with no harm on our profitability. First of all, the growing interest in ETFs is generating a positive volume effect for our investing business. Thanks to our advanced advisory wrappers made of ETFs, we can move in the investing world clients that are not interested in traditional mutual funds with no cannibalization risk on the existing fund business. At the same time, our leadership in ETF retail flows make us the main gateway for issuers in the Italian retail market. While we currently manage all costs to handle clients without recurring fees -- recurring revenue for ETFs, talks are underway with our partners to find a fair balance. Finally, Fineco's management is going to play a big role in ETFs world. Our Irish firm already launched active ETFs and more are going to be introduced. Thank you for your time. We can now open the call to questions.
Operator: [Operator Instructions] The first question comes from Enrico Bolzoni with JPMorgan.
Enrico Bolzoni: I wanted to start with Private Banking, if possible. You're clearly growing very nicely. I noticed, however, that the average asset per private banking client is at EUR 1 million, which is roughly the same level it was 1 year ago, even if clearly 2025 was a period of very strong market rally. So in a way, I would have expected maybe a growth in the average asset balance per private banking client. Can you please maybe explain a bit the dynamics there? There's a bit of dilution, maybe new private banking clients that are coming in that are a bit less wealthy offsetting the growth in assets of the others or anything else that would be helpful. And also related to Private Banking, would you be able to give us an indication of how much of the growth is coming from recruiting. So the new adviser you're bringing in, how many of them are particularly strong in the Private Banking segment. And then if I may go on the other end of the spectrum. So can you just give us an update on the trading-only platform, how many clients you have? And perhaps if you can attribute the very strong growth in customer this month to this feature, to this offering?
Alessandro Foti: So let me start by the Private Banking average assets per clients. This is clearly -- it's perfectly current with the distribution of the Italian wealth because Italy is characterized by a significantly high median wealth. So this means that the most part of the wealth is extremely -- is much more broadly distributed than with respect to what we have in other regions. And so this is absolutely consistent with that. So there is no dilution, it's absolutely [indiscernible]. So this is the main reason. And so we don't expect any significant change in the short term in terms of average assets per client exactly driven by this because this is -- the juice of the Private Banking business is in an area of probably between EUR 0.5 million up to, let me say, EUR 5 million, EUR 10 million, but clearly, this is bringing to an average portfolio for clients that is this. And as probably is very well known, our growth is mostly organically driven. So for us, recruiting is playing a small role because during 2025, recruiting in terms of gathering new assets has accounted for not more than 10% overall and this is absolutely current with our long-term strategy. So our strategy is to keep on getting more clients that are interested in our services instead of buying clients throughout recruiting. We think that is a much more healthy approach. And so this is going to continue. On the trading-only clients, the growth is keeping on accelerating, is extremely robust. I don't know if Paolo wants to make a few comments on this point.
Paolo Grazia: Yes. Brokerage-only account is a great product. So we have a large amount of clients that are entering. And so it gives us a good contribution to the revenues of the brokerage. We don't give usually the number of brokerage-only account, but it's a very strong inflow of new clients.
Enrico Bolzoni: And sorry, if I might go back once again to the private banking aspect in terms of the recruiting because recruiting is growing nicely 88%, I think, adviser experience over this year. Do you see any change in the quality of advisers that are coming to Fineco? I appreciate that you don't pay them to join, they join because they like the proposition. I was just keen to know if you see maybe more private banking adviser that are joining Fineco or if the mix remains roughly the same?
Alessandro Foti: So in terms of -- which are the financial -- the new financial planners joining Fineco, we have 2 clusters. There is a cluster -- so the cluster for which we have preference is, number one is regarding the senior financial planner is represented by experienced financial planners, but characterized by an evident and significant room for keeping on increasing their productivity. So we are not interested in taking on board financial planners that are not giving any interesting future evolution in terms of growing productivity. So we -- because, again, we don't need to recruit the financial planners just for sustaining the net sales because the net sales are building up incredibly strongly, thanks to the positioning of the bank. And so clearly, the reason -- the senior financial planners has to be clearly senior financial planners that they are truly interested in the business model of Fineco. And so this means that they are really interested -- that they are interested in keeping on their business for still many years to come and also they have the ambition to grow. So this is the driver. If there is a large big financial planner that is only interested in getting an upfront premium and moving, we are not interested in hiring that kind of financial planner. The second cluster is represented by the young people that we are onboarding in the bank. We are preparing for the future activity. This is an investment initially because before any young person becomes productive, it takes usually 4, 5 years, but it's paying off because the new generation of financial planners that we brought in the bank in the past years is now performing incredibly well. Also because these young people are incredibly perfectly aligned with the values of the bank that, again, characterized by efficiency, transparency and convenience.
Operator: The next question is from Elena Perini of Intesa Sanpaolo.
Elena Perini: The first question is about your leverage ratio because, yes, it is well above the 3% requirement, but it is slightly down versus previous periods. So I would like you to elaborate a bit more on it. And then I have another question about your direct deposit outflow in January. Probably it is linked to negative month seasonality, which is quite common at the beginning of the year. But I would like just you to confirm it. And if you can say something about your expectations for direct deposits trend this year? And finally, a question on systemic charges. Would you expect an increase in systemic charges probably relating to some specific case within the banking sector?
Alessandro Foti: Yes. Thank you. On the leverage ratio, clearly, this has gone slightly down, driven by the increase of deposits because the increase of deposits by the year-end has been very strong. And so this is the reason why we are maintaining the same wording on the evolution of our capital position because on one hand, we are expected to keep on generating additional organic capital, thanks to this incredibly capital-light business model. At the same time, clearly, the bank is more and more entering a new dimension of growth. We are more and more moving throughout, let me say, very positive unchartered waters, thanks to the positioning. And so clearly, we prefer to keep on waiting in order to look how it's going to evolve the growth that we expect as we were reiterating during the guidance, we expect to keep on accelerating. And so we prefer to take our time. So it's -- so this is our thought on that. So it's -- regarding the deposit outflows in January, this is absolutely perfectly aligned with the seasonality of the month because just consider that during the month of January, you have all the expenses made by the clients through the credit cards during the month of December, it is a month of expenditures, are clearly charged on January. So we are not -- it is even better with respect, for example, last year because last year, the seasonality has been definitely stronger than this year. So we are not absolutely surprised by this. It's perfectly aligned with the seasonality. And our expectation for deposits during the full year is clearly they are going to keep on growing. This is going to be clearly driven by the continuous client acquisitions because as we explained during the presentation, the clients that are entering the bank are clients that are not attracted throughout aggressive campaign and short-term proposal are clients that they are truly interested in using the platform. So this means that every single additional client we are adding to the platform, also a small client is contributing and increasing the transactional liquidity of the bank. So the liquidity that is there for functional reasons. And so for this reason, deposits are going to keep on growing throughout 2026, clearly, according with the usual seasonality that I characterized. And clearly, you can have also temporary effect caused by the activity of clients on the brokerage platforms. So this is -- but overall, the trend is up. On the systemic charges, I'm leaving the floor to Lorena, our CFO, for a little bit more color there.
Lorena Pelliciari: Thank you, Alessandro. Good morning to everybody. So on 2026, our expectation regarding the systemic charges that we are estimating a contribution around in the region of EUR 10 million, EUR 15 million because we have to consider possible additional contribution in case of the increase of guaranteed protected deposits or in the event of bank's failure. We have to take into consideration that based on the most recent news flow regarding one small Italian bank under special administration, we have to take a prudent approach on that.
Elena Perini: Just a follow-up on this. We expect this to occur only in 2026 or to go on in the next years, too?
Lorena Pelliciari: We have to expect the final decision elaborated by the [indiscernible], but we expect a distribution along 5 years, distribution of the contribution in 5 years.
Operator: The next question is from Luigi De Bellis with Equita.
Luigi De Bellis: Just one question for me. On the AI that is rapidly reshaping operating models across the financial sector. So from your point of view, what do you see as the most material opportunities AI will create for models like Fineco in terms of productivity, client engagement, advisory and risk management? And what are the key risks you are monitoring? And how do you expect the AI to reshape the competitive scenario in Italian wealth management and brokerage over the next 3, 5 years?
Alessandro Foti: AI is going to be an absolutely game changer in what's going on in our industry. Fineco, as we explained, is by far the best positioned player for exploiting the huge advantage by artificial intelligence for a very simple reason because I don't want to spend too much time because this is going to be a section that is going to be extremely very well in-depth treated during the Capital Market Day because this is a very important chapter. But Fineco is -- because in AI world, what is key are 2 components. One, you have to be able to get easily access to a high-quality base of data. Second, you have to be in the position to really build up your hedges in order to create something that makes sense. And clearly, this is much, much easier for -- and less and less expensive for an organization that is a tech company in full control of the technology. It's a different story, for example, if you are relying on outsourced services or your processes managed by external system integrators. But we are asking you to be a little bit patient because on the AI space, we are going to bring something very interesting presentation during the Capital Market Day.
Operator: Mr. Foti, there are no further questions registered at this time. Back to you for any closing remarks.
Alessandro Foti: Thank you, everybody, for attending to our financial presentation. So as usual, if you have some more interest or you want to deep dive in some numbers and concepts, please call us any time for a follow-up. Thank you again, and see you on March 4 for the Capital Market Day. Thank you again.
Operator: Ladies and gentlemen, thank you for joining. The conference is now over. You may disconnect your telephones.